Operator: Ladies and gentlemen, thank you for standing by. Welcome to AptarGroup, Inc.'s 2024 Fourth Quarter and Annual Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. Introducing today's conference call is Ms. Mary Skafidas, Senior Vice President of Investor Relations and Communications. Please go ahead.
Mary Skafidas: Good morning. Hello, everyone, and thanks for being with us today. Joining us on today's call are Stephan Tanda, President and CEO, and Vanessa Kanu, Executive Vice President and CFO. Our press release and accompanying slide deck have been posted on our website under the Investor Relations page. During this call, we will be discussing certain non-GAAP financial measures. These measures are reconciled to the most directly comparable GAAP financial measure, and the reconciliations are set forth in the press release. Please refer to the press release disseminated yesterday for reconciliations of non-GAAP measures to the most comparable GAAP measures discussed during the earnings call. As always, we will post a replay of this call on our website. I would like to now turn the conference call over to Stephan. Stephan, over to you.
Stephan Tanda: Thank you, Mary, and good morning, everyone. We appreciate you joining us on the call today. I will begin my remarks by highlighting our fourth quarter results, as well as our performance for the full year. Later in the call, Vanessa Kanu, our CFO, will provide additional details on key drivers for the quarter. Starting on Slide three for the fourth quarter, I'm pleased to report that AptarGroup, Inc. achieved core sales growth of 2% and delivered adjusted earnings per share of $1.52. We exceeded the top end of our guidance range due to both better than expected operational performance and a lower than anticipated effective tax rate. The positive results in the quarter were driven by strong ongoing demand for our pharma proprietary drug delivery systems, especially for allergic rhinitis, emergency medicines, and central nervous system therapeutics, as well as royalty revenues and increased demand for our food closure technologies. In addition, we benefited from productivity gains across the entire company. This quarter, AptarGroup, Inc.'s adjusted EBITDA margin was at the top end of our long-term range at 23%. Vanessa will give you more details on the quarter, so now I will focus on the full year. Our pharma segment achieved 8% core sales growth, within its raised long-term target range. Additionally, Pharma achieved an adjusted EBITDA margin for the year of approximately 35%, driven by increased sales of higher value products and royalties. Often when asked about pharma's future growth potential, my answer is clearly that pharma is a pipeline-driven business. The continued expansion of our pipeline over the last five years is a major reason why we raised our core sales long-term target in 2023 to 7% to 11%, and we see the pipeline continuing to grow. Pharma performance this year was driven by continued growth in emerging allergic rhinitis and central nervous system therapeutics. Our proprietary drug delivery business is the core profit engine of our pharma segment, creating and manufacturing innovative, safe, and highly reliable solutions that support our customers and improve the lives of patients around the world. We anticipate continued strength for this important franchise. For injectables business, we saw growth in antithrombotic, GLP-1 drugs, small molecules, and vaccines. Injectable component sales grew 10% in 2024, but the growth was offset by lower tooling and service revenues. The team has done a tremendous job of completing a large capacity expansion project and industrializing our higher value offerings, boding well for the future. Active material science sales were up 13% for the full year 2024, due to increased demand for diabetes diagnostics, probiotics, and oral solid dose solutions. Since we acquired CSP in 2018, the sales of that business have grown at a compound annual growth rate of almost 10%. Looking at our beauty segment for the year, we had good growth across a number of end markets, including personal care, mass-tige beauty, and home care. However, growth in these end markets could not offset the decline in prestige beauty. The beauty segment saw unit growth in 2024, and sales of personal care technologies grew nicely. Overall core sales declined, however, due to the unfavorable mix. Beauty remains a highly regional business. Europe, our largest region, maintained its adjusted EBITDA margin within the segment's long-term target range. North America continued to recover progressively with indie brands leading the growth. China remained challenged for most of the year; however, towards the end of the year, the country had a better than anticipated "11.11," which is China's equivalent to Black Friday, and we see some green shoots with local brands. We saw good growth in India, albeit from a low base. Looking ahead, new project activity is encouraging across most regions, and we anticipate progressive improvement for the segment in 2025. In the second half of the year, our closures segment returned to its core sales long-term target range, driven by increased demand around the world for food and beverage dispensing and food protection technologies. A focus on converting end markets to higher value dispensing closures and the reinvigoration of innovation globally helped to improve top-line sales. The segment's increased margins were also positively affected by the higher value mix, as well as a consistent focus on reducing costs and a steady improvement in plant utilization, supported in part by the midyear closing of a loss-making plant in France. The segment improved its plant utilization by over 12% in 2024. Closures adjusted EBITDA margins were also within the term target range in the second half of the year and improved by more than 110 basis points for the full year. Now turning to slide four, we are very proud of our long record of returning capital to shareholders. Over the last five years, we have returned nearly $800 million to shareholders through dividends and share repurchases. 2025 is expected to mark our 32nd consecutive year of paying an annual increasing dividend. Now I would like to highlight our products and technologies on slide five, which feature examples from both the year and the quarter that exemplify our focus on innovation and the value that we bring to our customers and their end users. In pharma, you've heard us talk about a needle-free dose system for Johnson & Johnson's Spravato medication to treat treatment-resistant depression. Recently, the FDA approved Spravato as a monotherapy, meaning it can now be used alone and not require additional oral solid dose drugs. Also, as shared during our last earnings call, the FDA and European Medicines Agency approved NFE and URIN, nasally delivered epinephrine, which is now on the market. In consumer health care, we continue to increase capacity for our previously highlighted Attended Lateral Control System technology with a one-push button dosage actuation, providing convenience, efficient relief, and ease of use for Halion's or Trivionatal mists. We also continue to grow our pharma innovation pipeline. As previously mentioned, during the year, we acquired all technology assets from SIPNOZ, increasing our proprietary portfolio of intranasal delivery platforms. We also entered into an exclusive agreement with Cambridge Healthcare Innovations for its Quotri dry powder inhaler platform, where we see opportunities for this platform in delivering larger amounts of medication to the lungs. In addition, our agreement regarding PULMATRI's COLIBRI nonpropellant liquid inhaler platform will further strengthen our leadership in the respiratory space. In Aptar Digital Health, the Migraine Buddy app continues to be the number one migraine app with a community of over three million users. The latest release of the app optimizes the way users can share migraine reports with doctors, including sleep records and more. Finally, in active material sciences, our N-Sorb technology, which is part of the FDA's emergency technology program, delivers an active packaging-based solution to mitigate the risk of nitrosamine impurities. Our technology can enable pharma companies to meet the FDA's August 2025 deadline for full compliance with nitrosamine regulations while avoiding costly and time-consuming reformulation processes. Turning to beauty highlights from the year, our new prestige fragrance dispensing technology Inyun features a more lightweight design and gentle actuation and is the dispensing solution for Lancome's refillable version of Idole or Dupaffin. We also adapted our pump technology to meet the growing demand for alcohol-free fragrances. Alcohol-free fragrances are typically oil and water-based, making the formulation more difficult to dispense. Our pump is highly compatible with these formulations, providing consumers with the same optimal gentle mist fragrance experience and is now featured on Galaz's first alcohol-free fragrance. Also in 2024, our custom beauty plant in Lyon, France, supported the launch of a major beauty customer's reformulated facial serum product, which features our patented dual pump technology and locking feature using post-consumer recycled resin. Fusion PKG, our beauty turnkey packaging solution business, supported indie brands, Syed and Anastasia, with full pack solutions. In our fourth quarter, Hermes selected our prestige fragrance pumps for each line of Barrenia Perfums, and the event brand Sanchemist is featuring our e-commerce capable locking pump with components made from post-consumer recycled resin where no overcap is required. Turning to closures, throughout the year, we continued to partner with a major dish care brand on their easy squeeze inverted packaging with flow control, allowing for single-hand operation without any leakage. Positive consumer feedback has led to major category expansion due to this innovation. If you're planning to watch the big game in the US this weekend, you will see commercials for condiments that feature AptarGroup, Inc. solutions, including our Simply Squeeze Valve enclosure, as we continue to bring convenience and cleanliness to consumer products that line the grocery store shelves. During the quarter, our custom flip top was featured as the dispensing solution for McCormick's Grille Made spices and holiday sugars in the US. Finally, in Asia, Nestler introduced the new adult-powered NUC product featuring our lighter weight custom closure. Now turning to recognitions on slide six, we recently received confirmation that we have secured a place on the prestigious Climate A List with the global environmental nonprofit CDP for our leadership in corporate sustainability, environmental transparency, and efforts to tackle climate change based on our 2024 disclosures. Also during 2024, AptarGroup, Inc. was named one of the World's Top Companies for Women by Forbes for the fourth consecutive year and is ranked 41 out of the 400 companies who were evaluated in three categories, including employer brand, public opinion, and leadership. For the sixth consecutive year, we were named one of America's Most Responsible Companies by Newsweek, ranked number 71 out of 600 companies. We are proud to continuously raise the bar on sourcing renewable energy, certifying sites as landfill-free through our internal program, and developing products that are more recyclable, reusable, refillable, and incorporate more sustainable materials. Now I would like to turn the call over to Vanessa.
Vanessa Kanu: Thank you, Stephan, and good morning, everyone. Let me begin by summarizing the highlights for the quarter. Starting on slide seven, our reported sales increased 1%, which included a foreign currency translation headwind of approximately 1%. Therefore, core sales grew 2%, primarily due to continued demand for pharma's proprietary drug delivery systems, as well as healthy growth in closure technologies for both the food and beverage market. We achieved adjusted EBITDA of $195 million, an increase of 9% from the prior year, and an adjusted EBITDA margin of 23% compared to 21.4% in the prior year, driven by expanding margins in the Pharma and Closure segments and the impact of cost mitigation measures executed across the business. These strong margins combined with a lower effective tax rate translated into adjusted diluted earnings per share of $1.52, as shown on slide eight, a 27% increase over the prior year at comparable exchange rates. The effective tax rate for the fourth quarter was 13% compared to 23% in the prior year, due primarily to the realization of deferred tax assets that were previously not recognized, as well as increased tax benefits from stock-based compensation. Now turning to some of the details by segments. Our pharma segment's core sales increased 4%. Breaking that down by market, starting with our proprietary drug delivery system, prescription core sales increased 15%, primarily due to continued strong demand for dosing and dispensing technologies for allergic rhinitis, emergency medicine, and central nervous system therapeutics. Consumer health care core sales decreased 17%, driven by decreased demand for nasal decongestants, nasal saline room solutions, as well as cough and cold medicines due to a weaker 2023-2024 cold and flu season and inventory management at the customer level. The healthy growth in Q4 product sales for ophthalmic and dermal treatment could not offset this decline. Injectables core sales decreased 8% due to lower service revenue and tooling. Injectable component sales were up slightly, led by healthy GLP-1 growth. And for our active material science solutions, core sales increased 35%, aided by a large tooling sale in the quarter. Demand for our products used on probiotics and diabetes diagnostics also contributed to the positive results. Pharma's adjusted EBITDA margin for the quarter was 35.7%, a 160 basis point improvement from the prior year. The margin improvement was driven by increased sales of higher value products and services, including royalties, and cost efficiency initiatives executed. Moving to our beauty segment, core sales decreased 3% in the quarter, with lower tooling sales contributing about a third of the decrease. Looking at the beauty segment by market, fragrance, facial skin care, and color cosmetics core sales decreased 9%, due largely to lower sales of higher value prestige products, particularly in EMEA, which more than offset increased demand for mass-tige products. Personal care core sales increased 3%, with continued demand for body care and hair care applications across several regions. Home care core sales increased 15%, primarily due to continued growth of air care applications in North America. This segment's adjusted EBITDA margin for the quarter was 12.4%, a 230 basis point decline, primarily due to the top-line shortfall, particularly in higher-priced prestige products. Additionally, you may recall that this segment received a one-time insurance claim settlement that benefited the prior year's margin. The impact of this nonrecurring item from prior year Q4 overshadowed the impact of operational efficiencies executed successfully within this segment. Moving on to the closure segment, core sales increased by 7% compared with the prior year, driven by increased demand across a number of end markets and across all regions. When looking at the market field for closures, core food sales increased 9%. The increase in sales was driven by solid growth across all regions, led by strong continued demand for sauces and condiments in North America, our largest food market. Beverage core sales increased 10%, fueled by healthy demand for bottled water and sports drinks. Personal care core sales decreased 5% due to lower demand across several regions, while our other category, which includes beauty, home care, and health care, core sales increased 12%, driven by higher sales for dish care and laundry care solutions. This segment's adjusted EBITDA margin was 16.1%, representing a 260 basis point improvement over the same period last year, primarily due to volume expansion and cost and productivity management.
Operator: Our total CapEx spend for Q4
Vanessa Kanu: was $66 million, with the majority going to our pharma segment. Now moving on to the full year results. Slides nine and ten cover our year-to-date performance and show 3% core sales growth, which includes the impact of an $11 million decline in Chile. Our gross margins expanded by 160 basis points due to top-line growth, favorable mix towards higher margin revenue streams, as well as productivity and cost efficiency measures executed across the business. These cost efficiency measures benefited both cost of sales and SG&A.
Operator: Offsetting the cost reductions in SG&A,
Vanessa Kanu: were increased investments in R&D, particularly for pharma, to support our innovation, and higher non-cash share-based compensation expense. As a result, SG&A as a percentage of net sales remained relatively consistent year on year. Adjusted EBITDA margins expanded by 130 basis points to 21.6%. Indeed, all of our segments expanded EBITDA margins on a full-year basis, including our beauty segment. While our adjusted earnings per share, which were $5.64, were up 18% compared to $4.79 a year ago, including comparable exchange rates. Turning to slide eleven, we ended 2024 with a 12.5% return on invested capital, which was our second consecutive year of increased ROIC, driven by our increased earnings and realization of returns on our capital investments. Cash flow from operations was $643 million, up from $575 million in the year-ago period. Capital expenditures for the year were $276 million, down from $312 million in the prior year. The reduction in capital expenditures signifies the completion of our large capital project. Slide twelve shows our capital allocation over the last several years, with a majority going to pharma. Free cash flow was $367 million for the year, up from $263 million in 2023, due largely to our increased earnings.
Operator: Our strong cash flow has allowed us
Vanessa Kanu: to neutralize any impact of our interest expense coming from rising interest rates by paying down a portion of our debts that have come due and increase the amount we returned to shareholders. Speaking of which, in 2024, we returned $183 million to shareholders in the form of $114 million in dividends and $69 million in share repurchases, up in combined total by 20% from 2023. Finally, we ended the year with a strong balance sheet reflecting a cash balance of $224 million as of December 31, net debt of $800 million, which was down $116 million from the prior year, and a leverage ratio of 1.08. Now moving on to outlook. Slide thirteen summarizes our outlook for the first quarter. We anticipate first quarter adjusted earnings per share, which as a reminder excludes any restructuring expenses, acquisition costs, and changes in the unrealized fair value of equity investments, to be in the range of $1.11 to $1.19 per share, which includes approximately a seven-cent headwind for currency effects compared to the prior year quarter. Our effective tax rate range for the first quarter is 25% to 27%, due in part to an anticipated increase in the French corporate tax rate, which is an eight-cent headwind compared to the prior year quarter. At this point in time, we expect to have an approximately fifteen-cent impact from currency impact compared with the prior year quarter. Currency impacts are driving a larger headwind in the first quarter than typical because of the US dollar's renewed strength against many currencies, which for us includes
Operator: the euro,
Vanessa Kanu: the Brazilian real, the Mexican and Colombian pesos, amongst others. While our rule of thumb for currency impact is that for every one-cent movement in the euro, there is a two-cent annualized impact on earnings per share. Please keep in mind that we are subject to other currencies besides the euro, some of which I just highlighted.
Stephan Tanda: In closing,
Vanessa Kanu: we're pleased with our strong operational performance for 2024 and are looking forward to the ample opportunity. As I mentioned earlier, we ended the year with a very strong balance sheet and a leverage ratio that will provide us with significant optionality. At this time, Stephan will provide a few closing comments before we move to Q&A.
Stephan Tanda: Thank you, Vanessa. We fully anticipate 2025 to be another strong year. Having said that, for the first quarter, we expect softer demand in certain end markets such as dispensing technologies for prestige fragrance and skin care, as well as for nasal saline and decongestants. Results in the first quarter will also be negatively impacted by significant foreign currency effects and a higher effective tax rate compared to the prior year quarter. As Vanessa stated, the impact in Q1 will be about a $55 headwind on EPS. Additionally, we are seeing healthy demand for our higher value elastomeric components but anticipate a more gradual beginning to the year, especially as the new capacity comes online and is being validated. Looking ahead, pharma will continue to be the main driver of growth with our proprietary drug delivery systems and emergency medicines and central nervous systems therapeutics leading the way. We expect demand for our injectables division's higher value products to continue to grow throughout the year and are seeing strong interest for our premium coat and ready-to-fill solutions. Injectables has a strong pipeline and order book, and we are ramping up new capacity for our higher value products cautiously to ensure the quality of our products continues to meet the stringent regulatory requirements. The active material science business has returned to growth and is poised for solid 2025. We anticipate that Beauty's top line will improve as the year progresses. Beauty has a nicely building project pipeline and has made significant structural improvements. Over the last four years, Beauty has reduced its plant count by ten and over the last two years has reduced its workforce by 11%. Managing cost is an ongoing effort, and while there is always more work to be done, these changes should continue to positively impact the bottom line as the top line improves. Closures has made great progress on several fronts, including reigniting its innovation engine, improving plant utilization rates, and ongoing cost management efforts. Our innovations help customers win market share, and there's tremendous interest in the dispensing technologies that we are developing. When adjusting for currency effects and tax impacts, we anticipate 2025 will continue to deliver solid earnings growth and increase shareholder value. With that, I would like to open up the call for questions.
Operator: Thank you, Mr. Tanda. We will now begin the question and answer session. And if for any reason you would like to remove that question, please press star followed by T. In the interest of time and fairness to all participants, please limit yourself to two questions and then come back in the queue if you have any more questions as time allows. And just a quick reminder, if you are using a speakerphone, please remember to pick up the handset before asking your question.
Stephan Tanda: We will pause here briefly whilst questions are registered.
Operator: The first question we have on the phone lines comes from George Staphos with Bank of America. Your line is open.
George Staphos: Hi, everyone. Good morning. Hope you can hear me okay? Stephan, Mary, good morning. Vanessa, welcome. My two questions. First of all, can you talk a little bit about
Stephan Tanda: the green shoots that you are seeing in China and what momentum what impact that might be able to have to generate for 2025. The second question, recognizing it's tough to call, if you held currency rates where they're at, and taxes do what you expect them to do, do you expect that earnings per share will grow in 2025 off a very tough comparison in 2024? Would that be too difficult? Maybe a different way to handle a question. If we exclude those effects, how would you define solid earnings per share growth? Thanks, guys. Good luck in the quarter.
Stephan Tanda: Hi, George. We could hear you great. Let me take the first one, the higher math of the second one. Let's manage to handle. Look. As you know, the beauty market in China and in general is still the largest country market for beauty with a particular emphasis on skincare. And all our customers have rated for that market to show additional or renewed vitality. And some of our larger customers have been struggling with that. What we see is that clearly local brands gain share and continue to gain share versus the multinationals. You all know the story of the one US-based large multinational. But in general, "11.11" was pretty solid. The beginning of the year was pretty solid. So but it's more with local brands and, of course,
Operator: ultimately,
Stephan Tanda: who serves the consumer, we are neutral to that. So I'm quite hopeful that we will see China building over the year and that will benefit particularly our skincare business. Fragrance is also growing, but it's still very small in China, but growing. I think that's about it. As a reminder, we serve in region for region, so all this speculation about tariffs for us is not that meaningful. And what we're really looking for is where is the Chinese consumer at. And, anecdotally, we also see the Chinese consumer traveling more internationally again. At the high end, and I think that should also bode well for the beauty business in general.
George Staphos: And I hand over to Vanessa. Hey, George.
Vanessa Kanu: It's right that you called out the tax and FX headwinds. We haven't seen kind of headwinds in the recent past. You know, the tax headwinds being driven by, you know, a lot of what we talked about about the
Gabe Hajde: the French tax legislation that just came is in the process of coming into effect as we speak. Look. When you normalize for FX, and you normalize for tax, we are cautiously optimistic that we will have another potential, you know, double-digit EPS growth for 2025. A lot of the drivers, you know, Stephan talked about description remarks, you're aware that I've done a lot of work around cost reductions. Those cost reductions will accrete to, you know, EBITDA and EPS in 2025. So we're cautiously will be normalized for consistency in FX and tax. Have another strong EPS growth here.
George Staphos: Vanessa, does the tax is it only a one Q effect or does it impact the whole of the year? Thank you. Sorry for that. And again, good luck in the quarter.
Gabe Hajde: Yeah. No. That's okay. It impacts the whole year. It is the whole year. So really, what happened in the last so you may recall, George, this is we we thought this was gonna happen in Q4 because it was heavily reported. Right. By the French Yeah. It didn't happen in Q4. It it just you know, it it's happening now. It passed both the lower and upper chambers of parliament, and we think it's gonna be an asset. In the in the coming days, it will be a full-year impact. And so we've built the Q1 effect into our the Q1 guide.
George Staphos: Alright. Thanks so much, and congrats on the operating improvements across the segments as
Stephan Tanda: well. Awesome. Thank you, George. We'll take it.
Operator: Thank you.
Stephan Tanda: We now have the next question from
Operator: Ghansham Panjabi with Baird. You may proceed.
Ghansham Panjabi: Yeah. Thanks. Good morning, everyone. Vanessa, just following up on George's question on you know, the EPS bridge items. So if currency holds at current levels,
Gabe Hajde: you know, what sort of year over year headwind would that be on EPS? The same with tax. And then corporate, Q4 was quite a bit lower than the trend line from previous quarters, how how should we think about that as a variance for 2025 versus 2024?
Gabe Hajde: So in in Q4, there there are a couple of things. We talk year over year or we talk you know, versus guidance. So year over year, we did get some tax benefits from our tax planning. I called out in my prepared remarks that you know, we were able to recognize some deferred tax assets from some loss carry forwards that we had not previously been able to recognize as a result of some of our ongoing tax planning. So that did result in sort of the win that you're seeing in Q4. Year over year. Separate from that, there's the the delta, the guidance. And so that wing was actually built into our guidance. The delta to guidance was really this French tax impact that we had built into our guidance in Q4 that did not materialize. And now we're seeing that come into effect in Q1 of this year. You asked what is the impact in Q1. We we called it out. It's fifteen cents for for the two factors combined. So I'm not I'm not clear on what incremental impact you might be looking for. Yeah. So I meant for 2025 versus 2024. 2024 baseline EPS is $5.64. The variances for FX, Fax, and corporate.
Gabe Hajde: Yeah. So we're not guiding for the full year. We're not so I I I I'll find it hard to to give guidance on each ETR, for example, in independence of guiding on income just because we know that the jurisdiction mix of earnings can be a pretty significant impact. What I will say is at this point in time, given what we know, especially with with what's happening on the French taxes, we expect ETR to be higher. In 2025 versus 2024. We haven't gotten into exactly what the number will be. We'll guide as the quarters progress. And then the FX headwinds, I mean, it's pretty significant in in in Q1. The seven cents. I expect that to continue for the rest of the year. Now depending on which forecast you're watching, you know, we are seeing or hearing some commentary around, you know, for perhaps the the FX environment improving as the Europe progresses. But based on what we see now, we expect this double-digit impact to continue.
Ghansham Panjabi: Okay. And then the corporate, below trend line for Q4, what what was that due to?
Gabe Hajde: So the the warranty is sort of on unusual items there in in Q4. What I will call out is typically as you get to the end of the year, you typically have your year-end true up. Which includes, you know, you know, adjustments for bonuses and short-term incentive accruals. But you have pockets of the business where we didn't hit our target. Know, some of those reverse accruals got reversed. So that's probably what you're seeing That's mainly what you're seeing in the in the corporate line in Q4. Nothing more unusual than that. Primary driver. Okay. Got it. That
Ghansham Panjabi: Thank you for that. And and in terms of, you know, just second question, I guess, in terms of the destocking that you're seeing in cold and flu and you know, the timeline for that to sort of normalize And then also in Prestige, you know, you call that weakness, I think, in in the EMEA region as well. You know, just based on some of the customers that are reported, it seems like volume seem relatively stable across the board. From a customer level standpoint. So what what do you think is going on their specific gap chart?
Stephan Tanda: Yeah. So let's take consumer health care first. We we see some bottoming out. And in fact, the last two months, we saw sequential increases again. A lot will depend again on how the the flu season unwinds. Just heard this morning that we might have another peak in the US. And so sequentially, I I think it it will start to go up again, but still face tough comparables in quarter one. Into quarter two now. On the beauty side, we we I pointed out that unit volume actually was up in duty slightly So what you're really seeing is the mix effect is is nasty, fragrances picked up significantly and the high-end luxury prestige launches did not repeat. So that it's more of a mix effect as opposed to an underlying volume effect.
Ghansham Panjabi: Thanks so much.
Operator: The next question? Comes from Matt Larew with William Blair. Please go ahead.
Matt Larew: Hi, Stephan. Vanessa, good morning.
Gabe Hajde: Stefan, you noted that
Matt Larew: you're expecting a a more gradual ramp up in injectables. I believe last quarter you said that business could potentially be high single digits to low single digits based on GLP and Biologics growth, albeit stopping short of any official guide there. But based on the the new ramp up expectations, do you have better visibility or comfort in confirming what that injectables core sales growth number could look like in 2025 or or given strong underlying growth rates in those drugs, what factors could dictate either coming in above or below any expectation?
Stephan Tanda: Yeah. I I wouldn't change my answer there. On the pipeline looks good. The order build-up looks good. Will be quarter to quarter variance also in terms of our ramp up and when we get to pieces of equipment validated. It's always, you know, after you The moment the customers want it, they want it now and it's about now and still need to get this test done or this thing done. So overall, the demand picture is good. All we're being is a bit cautious in able to exactly match that in the first quarter, but I'm quite bullish about that business.
Matt Larew: Okay. That's helpful. Thank you. And then maybe on the proprietary delivery system side, So 2024 had continued strong performance and you noted that category will lead the pharma segment So as we look to 2025, what type of growth do you think is achievable there? And as we heard positive commentary on some of the newer drugs you've had, whether that's SPRAVATO broadening or or neffi coming out of the gate in Q4, would you say that 2025 growth proprietary is is more so dependent on further new drugs coming to the market or more so underlying secular trends for nasal delivery and drugs that are already on market
Stephan Tanda: Sure, Matt. Hey. Look. Fundamentally, that core engine of of Pharma is is fully humming. We feel very good about the continued growth there. We were at JPMorgan earlier in January, and also the J&J CEO called out the Sprovado. ARS was there. So we see continued good growth
Gabe Hajde: And the emergency treatments, the central nervous system drugs,
Stephan Tanda: as well as the the underlying allergic rhinitis
Matt Larew: Yeah.
Stephan Tanda: Franchise continuing As I get as we just discussed, the cold and cough is a little wobbly. But I think we're we're at the other end of the trough.
Matt Larew: Great. Thank you again. Thank you. We now have a question from
Operator: Daniel Rizzo with Jefferies. You may proceed.
Daniel Rizzo: Good morning, everyone. Thank you. Thank you for taking my question.
Gabe Hajde: Well, the first thing I wanted to ask about is is tariffs. Obviously, it's a very fluid situation, and I don't expect you to have any answer what's gonna happen. But was wondering what happened last time There were tariffs on on Chinese products if it had any effect to you guys at all, or necessarily you directly, but also on on your your customer demand or customer order trends.
Stephan Tanda: Yeah. Look. Obviously, it's it's not in our guidance. The for the most part, we produce in region for the region. And I said about China, So This There, of course, are some special situations in in those cases We pass it on or we'll pass it on and have passed it on. Of course, it's a commercial negotiation. But out of all the things you could worry about, the tariffs is not one that I worry terribly about.
Daniel Rizzo: Okay. And then you you had a a a pretty solid improvement in in in ROIC over the last last couple of years. I was wondering what and maybe you've mentioned this in in October or something and I forgot. But what what the goal is if you can get this up to I don't know. Fifteen percent or if there is if there is a goal, for that for that metric?
Stephan Tanda: Yeah. And we're we're not in the habit of of changing long long-term targets. On the quarterly calls, we have day coming up, I think, in September. If if we revise we would do it then. But clearly, the increased operational performance the more distant acquisition of CSP and continued discipline in CapEx is helping ROIC, and we'll take a look at that as we get into September. And and we'll update you then.
Daniel Rizzo: Thank you very much.
Operator: Thank you. Just a quick reminder that it's done for you if I wanted to ask a question. And we now have Matt Larew with William Blair. Please go ahead.
Matt Larew: Hi. Good morning. Yeah. You talked a little bit about the cough and cold side and injectable side of pharma. I wanted to ask about royalties. Obviously, that's something that you've been mentioning more on the call in the last year or so. And I presume was a driver of some of the margin improvement in in 2024. Was there anything, you said, a lot of time in nature in either the quarter or the year
Gabe Hajde: or are they all structured as royalties rather than milestones? And then how should we think about the contribution you know, moving forward in 2025 and beyond?
Stephan Tanda: Sure. Yeah. Look. First and foremost, those are recognition of the value we add. During the development process of a drug product, the can be a decade or longer,
Gabe Hajde: Sometimes excuse me, sometimes if we're dealing with
Stephan Tanda: really small companies and they bulk it out service fees, then we get something on the back end. And what we call other royalties is indeed That might be some smaller milestone payments that it's fundamentally royalties on finished product sales. They are lumpy. But make a bigger part of our overall revenue base, but still, you know, you're talking a few tens of millions. For the company?
Gabe Hajde: Okay. And then I I did wanna just follow-up on on injectables. Obviously, that was up significantly in Q1 2024, so a tough comp and then was down the last three quarters you say a slow ramp to the year, I guess we should think about that being maybe down in the first quarter and then growing from there.
Stephan Tanda: Yeah. Yeah. I'm we're we're not getting business line. But, you know, So so too far away from the commentary we gave. Okay. Thanks. But having said that, you know, you need unit volume continue to grow throughout the year. Those are some other things in the injectables that we report, like service revenue, that is more lumpy.
Gabe Hajde: Okay. Thanks, Stefan.
Operator: Thank you. We now have Gabe Hajde with Wells Fargo. Please go ahead.
Gabe Hajde: Stefan, good morning. Vanessa, welcome. I wanted to focus on on the capital allocation side of the business. You talked about wrapping up a a couple of big investments as we know. Add capacity and injectables And I think it's a good thing, but it it still seems you guys are kinda guiding two eighty to three hundred for capital. You also gave us a slide where you're showing a lot of your internal investments are directed at your pharma segment. So I I think all in, we interpret that as a as a positive signal. But just any color that you can provide in terms of what options you're seeing for investment internally?
Vanessa Kanu: Sure, Gabe. Why don't I take that and and step on, please, add any of the incremental color. So, Gabe, the capital allocation policy, as you know, has been a pretty healthy balance of, you know, organic Capital which as you call out has been, you know, largely geared towards pharma, not exclusively, but largely So m and a, dividends, and and and share buybacks. And I think I'll be getting to 2025. You'll see a level of continuation of that. And you did call out our our capex expected investments in 2025. I will once again get a big piece of that. From an m and a perspective, I'm not foreshadowing anything imminent, but we do regularly evaluate potential m and a candidates where we see, you know, strong strategic fit and accretion potential. And you've heard Stephan talk about that, you know, in the past. And and that again more geared so towards pharma, but not exclusively so. So I think that would continue in terms of the evaluation process. And then from a dividend perspective, you know, we just ended, you know, our thirty first year. As as Stephan called out in his prepared remarks of increasing dividends. So I would expect that also to continue in 2025. And then, you know, lastly, just on the share buybacks, you know that the board approved a refresh, you know, half a billion buyback program. In October, and that is the more discretionary component. Of our capital allocation. We're already active in the market with the repurchases, and and it's a lever that we have And I would expect that to also continue in 2025. You wanna add step by step? Perfect.
Gabe Hajde: And any particular projects or discrete
Matt Larew: things that are in that capital that you guys would wanna call out?
Stephan Tanda: Not not really. As as as we discussed, you know, we we built these three disrespectfully called boxes, the one in in France and OYANA. State of the art facility in in in China and the injectables. Now we're really creeping investment and and and gradually growing capacity. Not only in those three locations, but everywhere. And think the single largest investment for us is five million in that hundred million two eighty to three hundred million envelope. So it's a lot of just good organic growth investments, maintenance investments, capacity creep investments across the company.
Matt Larew: Okay. And then I guess switching gears a little bit, You guys have been pretty active. I I think you called out closing And I I apologize if I misheard ten facilities in beauty. But just know,
Gabe Hajde: we're kinda on the other end of
Matt Larew: what was that? A multiyear kind of efficiency initiative across the organization. Again, I I know you're not always you're not done. You're always trying to get better, but as we look forward, do you see anything else that you need to do from a footprint standpoint or or cost reduction?
Stephan Tanda: Yeah. Just to clarify, what we said beauty reduced its Plant count or site count by ten. We're in the Not that we built ten, but we reduced by ten. And also over the last two years, reduced the test count by 11%. And as you're right, you said you're never done. Have some ideas. Nothing we're is is imminent here. And productivity is increasingly you know, coded in our DNA, and I'm I'm very encouraged with the productivity plans. All three businesses have brought to the table for this year, and we're tracking that closely. But beyond that, then really nothing to to report at the moment.
Matt Larew: Thank you.
Vanessa Kanu: Thank you. I would now like
Operator: to conclude the question and answer session and hand it back to Mr. Tanda for some closing comments.
Stephan Tanda: Wonderful. Thank you. So let me end by zooming out as usual. Quarter four was a solid finish to a very strong year. 2024, and top of a very strong year, 2023. We delivered back-to-back double-digit earnings per share growth for both years and followed through on our raised margin targets. Driving productivity as I just said, is increasingly firmly coded into the DNA of the company in addition to innovation and sustainability that remains alive and well. Looking at 2025, we are excited to continue the journey. Our customers are taking very much note of our increased focus on competitiveness and on meeting their needs more rapidly and flexibly with our much-upgraded footprint. Company are in very good shape, and the pipelines continue to grow. Having said all that, as we discussed, we're operating against the more challenging macro, especially with foreign exchange. And the anticipated higher French corporate income tax rate. Doesn't mean that our text cleaning activities are done. You always look for ways to abate impact like that. We had a good start of the year. But faced some spots of tough comparables that we discussed in Fragrance consumer health care. But both of these are fully expected to be transitory. Gentle reminder. I know we're all focused on the quarter, but several of you were able to look under the hood. So to speak, just if you Four months ago, when you visited some of our facilities, we're still the same company that you saw four months ago. In the evening, the slowing economy, we are confident that in our future trajectory, given the resilience of our product portfolio and the strength of our pipeline. We discussed the balance sheet. We're on track for thirty-second year paying an annually increasing dividend. And our balance sheet affords us a lot of strategic flexibility. Thanks for joining the call, and we look forward to discussing more on the road.
Operator: Thank you for joining the AptarGroup, Inc.'s 2024 Fourth Quarter and Annual Results Conference Call. For ten percent, today's call has now concluded. Thank you for your participation, and you may enjoy the rest of your day.